Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's Second Quarter 2025 Earnings Conference Call. My name is Karen, and I will be your coordinator today. [Operator Instructions] As a reminder, the conference is being recorded for replay purposes. [Operator Instructions] I would now like to turn the presentation over to Christine Jewell, Head of Investor Relations. Please go ahead.
Christine Jewell: Thank you, and good morning. Welcome to Genworth's Second Quarter 2025 Earnings Call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth website, investor.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Jamal Arland, President and CEO of our U.S. Life Insurance business; Greg Karawan, General Counsel; Kelly Saltzgaber, Chief Investment Officer; and Samir Shah, CEO of CareScout Services, will also be available to take your questions. During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. And now I'll turn the call over to our President and CEO, Tom McInerney.
Thomas Joseph McInerney: Thank you, Christine, and thank you to everyone on the line for taking the time to join Genworth's second quarter earnings call. Genworth had a solid second quarter as we continue to advance our long-term strategic priorities. Genworth reported net income of $51 million in the quarter. Adjusted operating income was $68 million or $0.16 per share, driven in large part by another strong quarter from Enact, which contributed $141 million to our adjusted operating income. Total estimated pretax statutory income for our U.S. life insurance companies was $81 million, driven primarily by the net favorable impacts to annuities from equity market and interest rate movement in the quarter. Jerome will discuss this and other financial results in more detail later in the call. Our liquidity position remains strong as we ended the quarter with cash and liquid assets of $248 million. During the quarter, we continued to execute and drive progress against our 3 strategic priorities. First, Enact remains a key source of cash flow and continues to generate strong value for Genworth shareholders as its market value increases. As you may have seen, Enact announced yesterday that it now expects to return approximately $400 million of capital to shareholders this year, underscoring its continued operational strength and robust financial performance. Since Enact's IPO in 2021, our stake in Enact has provided Genworth with over $1 billion in capital returns supporting our ability to buy back shares. Since our current buyback program's initial authorization, we have repurchased a total of $630 million worth of shares at an average price of $5.80 as of July 30. Turning to our next strategic priority. We continue to maintain our self-sustaining customer-centric, LTC life and annuity legacy businesses. We've done this primarily by executing on our multiyear rate action program or MYRAP, which has proven to be our most effective lever for maintaining self-sustainability. We secured $41 million of gross incremental premium approvals in the second quarter with an average premium increase of 36%. This brings us to a cumulative total of approximately $31.6 billion in net present value achieved. As discussed on last quarter's call, we continue to anticipate lower approvals this year compared to 2024 and in line with our long-term plans for the program. Our third and final strategic priority is driving long-term growth through CareScout. CareScout is designed to create value for Genworth in 3 ways. Delivering savings to our U.S. life insurance companies, providing new sources of revenue and growing Genworth's valuation over the long term. On the services side, we expanded our product offerings with the launch of care plans as we work to help people understand and find the long-term care services they need. For about $250, you can initiate a care plan from carescout.com that begins with a virtual care evaluation conducted by a CareScout-licensed nurse. Families then received a detailed plan that suggests appropriate care strategies and local resources tailored to the individual's physical, cognitive, social and environmental needs. For the millions of caregivers who may be overwhelmed by the urgency or complexity of their loved ones care needs, a care plan can be a helpful resource in understanding the level and type of care need along with options to meet those needs. Turning to the CareScout Quality Network. We recently expanded network access to consumers in all 50 states. Anyone searching for home care can now access the network through carescout.com where you can filter for location and specific care needs to connect with quality providers. Providers cover the cost of the network by paying fees associated with successful care placements. In addition to helping families navigate the aging journey, the new care plans offering and the expansion of the network will contribute to fee-based revenue growth in line with our strategy of diversifying earnings and scaling our capital-light services business. We also continue to work with insurance carriers with closed LTC blocks to leverage the network as an enhancement to their customer experience and claims management strategy. We have ongoing pilots with 2 carriers, and we are engaged in constructive discussions with several others about tapping into the network potentially making this channel a significant source of future revenues. The network continues to grow, now comprising nearly 650 home care providers, approximately 90% of whom have agreed to rates below the median cost of care and their respective zip codes. We also expect to add assisted living communities to the network in the coming months, expanding the care settings available through the network. The network now covers greater than 90% of the age 65-plus census population in the U.S. and continued strong interest among care providers indicates that we have a significant runway ahead of us in growing and sustaining the network. We achieved nearly 1,400 successful matches so far this year between Genworth LTC policyholders and CareScout quality network providers as of the end of the second quarter. We have raised our full year estimate to 2,850 matches. As the network and CareScout brand awareness grow, we predict that a larger portion of Genworth's LTC claimants will choose care options within network providers, helping them maximize each benefit dollar and enabling Genworth to realize an estimated $1 billion to $1.5 billion in claims savings over time. Shifting to CareScout Insurance, we expect to reenter the market with our inaugural low- risk stand-alone LTC insurance product later this year. This product offers a compelling customer value proposition as the cost of care continues to rise and will be priced conservatively to reduce risk, deliver attractive returns and help mitigate the need for future rate increases. The new product has already secured approvals in 29 jurisdictions and we are targeting approvals in 30 to 35 states ahead of our launch. Additionally, we submitted a worksite version of the product to the Interstate Insurance Compact enabling distribution through employers and association channels. Our initial capital investment in CareScout Insurance this year represents the majority of the funding we expect to allocate to this business over the next 3 years due in part to the delayed timing of the expected funding of CareScout Insurance and resulting decrease in investment income earned in the entity in 2025, we are modestly increasing our expected 2025 investment from $75 million to $85 million to meet the regulatory requirements to maintain sufficient capital to cover losses by a multiple of 5 as we establish CareScout Insurance. Future capital contributions may vary based on sales level and mix in addition to investment performance and operating expenses. Last week, we shared that the U.K. High Court has issued a favorable judgment in the AXA and Santander litigation finding Santander liable for losses resulting from the misselling of payment protection insurance. We are pleased with the court's judgment which validates our long-standing belief that Santander bears responsibility for these legacy liabilities. The court awarded acts damages, interest, costs and expenses of approximately GBP 680 million or $911 million using a GBP 1 to $1.34 exchange rate. While the trial court denied Santander's initial request for permission to appeal, the court's judgment is still subject to Santander seeking permission to appeal from the Appellate Court. If the judgment is paid in full and any appeals are favorably resolved, Genworth would expect to recover, at that time, approximately $750 million. These proceeds have not been factored into our capital allocation plans. Once received, we plan to deploy them in line with our stated capital allocation priorities, investing in growth through CareScout, returning cash to shareholders through our buyback program and opportunistically paying down debt. Before I turn it over to Jerome, I'd like to briefly address recent policy developments affecting the U.S. long-term care landscape such as the Medicaid changes included in the recently passed tax and budget legislation. Medicaid remains the pair of last resort as well as the primary payer for long-term care services in the U.S. I believe the rising cost of LTC services for baby boomers, particularly the 95% who lack private LTC insurance coverage and the pressures on families and Medicaid financial resources will make the discounts provided by CareScout's quality network even more valuable in the future. The number of 80-year-old baby boomers is expected to double by 2045. 90% seniors today have a strong preference for at-home care while about 30% of seniors report difficulties with activities of daily living. As detailed in our latest cost of care report, home care costs have surpassed $77,000 per year on average, and costs have increased significantly in the last few years. As the long-term care funding crisis comes into greater focus, we are encouraged to see momentum in Congress towards identifying innovative, sustainable solutions like the WISH Act of bipartisan bill cosponsored by representatives, Tom Suozzi of New York and John Moolenaar of Michigan. The WISH Act would establish a public-private framework to provide financial support for individuals requiring long-term care while also encouraging broader access to private insurance products. We believe private market solutions like those offered by CareScout represent a critical step forward. A combination of modern LTC insurance and services products improved access to quality care and practical care navigation can significantly mitigate the growing strain on public programs like Medicaid. In closing, we are very encouraged by the steady progress we've made across Genworth's 3 strategic priorities and by the financial strength and operational performance we continue to see at Enact. We remain confident in our ability to execute and sustain this momentum through the remainder of 2025. With that, I'll hand it over to Jerome for a more in depth review of our financial performance.
Jerome Thomas Upton: Thank you, Tom, and good morning, everyone. We continue to build on our solid foundation, enhanced financial flexibility and deliver on our strategic priorities. Enact once again drove robust operating performance and continues to maintain a strong capital and liquidity position. We also advanced our multiyear rate action plan made significant progress building CareScout and continued to return capital to shareholders. I'll start with an overview of our financial performance and drivers, then provide an update on our investment portfolio and holding company liquidity before we open the call for Q&A. As shown on Slide 7, second quarter adjusted operating income was $68 million, driven by Enact. Our Long-Term Care Insurance segment reported an adjusted operating loss of $37 million driven by a remeasurement loss primarily related to unfavorable actual variances from expected experience or A2E. The unfavorable A2E of $42 million was driven by lower terminations and higher benefit utilization, partially offset by the recapture of a block of LTC policies previously assumed by Genworth resulting in a pretax gain of $26 million in the quarter. As we have previously noted in 2023 and 2024, we saw an average quarterly loss from the A2E of about $65 million in LTC. While the favorable seasonal impact from mortality we observed in the first quarter subsided as anticipated, we continue to expect that we could see losses at this average level throughout 2025. As a reminder, quarterly fluctuations in U.S. GAAP results do not impact our cash flows, economic value or how we manage the business. Life and Annuities reported an adjusted operating loss of $7 million in the second quarter. This included an adjusted operating loss of $20 million in life insurance, which improved versus the prior quarter due to lower mortality, partially offset by adjusted operating income of $13 million from annuities. In Corporate and Other, we reported a $29 million loss for the second quarter, which was higher than the prior year loss of $10 million, primarily driven by favorable tax timing in the second quarter of 2024. Now taking a closer look at Enact's second quarter performance on Slide 8. Enact delivered $141 million in adjusted operating income, up slightly versus the prior quarter, but down versus the prior year, reflecting a lower reserve release. Primary insurance in- force grew 1% year-over-year to $270 billion supported by new insurance written and continued elevated persistency. As shown on Slide 9, Enact's favorable $48 million pretax reserve release drove a loss ratio of 10%. Enact's estimated PMIERs sufficiency ratio remained strong at 165% or approximately $2 billion above requirements. Genworth share of Enact's book value, including AOCI, has increased to $4.2 billion at the end of the second quarter, up from $4.1 billion at year-end 2024. Enact continues to deliver significant capital returns to Genworth, including $94 million returned in the second quarter. Looking ahead, Enact continues to operate with solid business fundamentals and a strong balance sheet and is well positioned to navigate the uncertainties in the macroeconomic environment. As Tom mentioned, Enact now expects to return a total of approximately $400 million to its shareholders in 2025. Based on our approximate 81% ownership position, we now expect to receive around $325 million from Enact for the full year. Turning to long-term care insurance on Slide 10. We continue to proactively manage LTC risk and maintain self-sustainability in the legacy U.S. life insurance companies. Our multiyear rate action plan or MYRAP, remains our most effective tool for reducing tail risk in LTC. As of the end of the second quarter, we have achieved approximately $31.6 billion of in-force rate actions on a net present value basis. As part of the MYRAP, we offer a suite of options to help policyholders manage premium increases while maintaining meaningful coverage and to enable us to reduce our exposure to certain higher cost benefit features such as 5% compound benefit inflation options and large lifetime benefit amounts. About 60% of our policyholders offer a benefit reduction have elected to do so lowering our long- term risk. These initiatives have helped reduce our exposure to individual LTC policies with the 5% compound benefit inflation feature decreasing notably to approximately 36%, down from 57% in 2014. In addition to the MYRAP and other benefit reduction strategies, we're reducing risk in innovative ways, including through the CareScout Quality Network and our Live Well, Age Well intervention program, which deliver value for policyholders while also driving claim savings over time. As we have said before, we are committed to managing the U.S. life insurance companies as a closed system, leveraging their existing reserves and capital to cover future claims. We will not put capital into the legacy life insurance companies and given the long-tail nature of our LTC insurance policies with peak claim years still over a decade away, we do not expect capital returns from these companies. Slide 11 shows statutory pretax results for the U.S. life insurance companies with income of $81 million for the quarter. The LTC loss of $26 million reflected the anticipated decline from seasonally high mortality in the first quarter. Earnings from in-force rate actions of $342 million were down from $445 million in the prior year as the prior year included a significant benefit from the implementation of the LTC legal settlements which are now complete. Life Insurance reported income of $18 million, driven by favorable seasonal impacts versus the prior quarter and our Annuity products reported income of $89 million, reflecting the net favorable impact of equity market and interest rate movements in the quarter. The consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, is estimated to be 304% at the end of June, consistent with the end of March, reflecting strong statutory earnings, offset by higher required capital from continued investment in the limited partnership portfolio. GLIC's consolidated balance sheet remains sound with capital and surplus of $3.6 billion as of the end of June. Our final statutory results will be available on our investor website with our second quarter filings later this month. Moving to our investment portfolio, which is summarized on Slide 12. We remain confident in our positioning and believe we have the right strategy to remain resilient and navigate periods of market volatility. The majority of our assets are in investment-grade fixed maturities along with an allocation to alternatives. Collectively, we continue to invest in these assets on behalf of our life insurance companies at yields of approximately 7%. Our net investment income for the quarter reflects both improved distributions and valuations from our alternatives portfolio which is composed mainly of diversified private equity investments and has targeted returns of approximately 12%. As a reminder, the alternative asset program has the potential to experience uneven performance from quarter-to-quarter based on market volatility, but we are focused on investing for the long term, where we are confident that our track record of robust returns will prevail. We remain committed to growing our alternative assets within regulatory limitations as it is a natural fit with long-tail liabilities. Next, turning to the holding company on Slide 13. We received $94 million in capital from Enact and ended the quarter with $248 million of cash and liquid assets or $120 million net of advanced cash payments from our subsidiaries for future obligations of approximately $128 million. This includes the remainder of our initial capital investment of $85 million into the new CareScout Insurance company this year. We exclude these advanced cash payments when evaluating holding company liquidity for the purpose of capital allocation and calculating the buffer to our debt service target. Turning to capital on Slide 14. We also expect to invest approximately $45 million to $50 million in CareScout services in 2025 as we continue to build out the platform. This investment will go towards adding new products and customers, establishing a strong foundation to scale the business. Moving to shareholder returns. We repurchased $30 million of shares in the second quarter at an average price of $7.01 per share and another $10 million in July. For the full year 2025, we now expect to allocate between $100 million to $150 million to share repurchases which excludes any potential proceeds from the successful resolution of the AXA litigation matter. This range may vary depending on business performance, market conditions, holding company cash and our share price. We're very pleased with the value we've created for shareholders through our share repurchase program. Our holding company debt stands at $790 million, and we have financial flexibility given the strength of our balance sheet and sustainable cash flows from Enact. We continue to maintain a disciplined capital structure with a cash interest coverage ratio of approximately 6%. As Tom mentioned, we are pleased with the court's judgment in the AXA/Santander litigation. If the judgment is paid in full and any appeals are favorably resolved, Genworth would expect to recover at that time, approximately $750 million, subject to movements in foreign exchange rates. We do not expect to pay taxes on this recovery. These proceeds have not been factored into our capital allocation plans, but our capital allocation priorities remain unchanged. We will continue to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price trades below intrinsic value and opportunistically retired debt. In closing, we're delivering on our strategic priorities, while proactively managing our liabilities and risk. The multiyear rate action plan and additional risk mitigation strategies are ensuring the self-sustainability of the legacy LTC block, and we will continue to focus on delivering sustainable long-term growth through Enact and CareScout while returning meaningful value to shareholders through share repurchases and opportunistic debt retirement. Now let's open up the line for questions.
Operator: [Operator Instructions ] We'll take our first question from Ryan Krueger with KBW.
Ryan Joel Krueger: I had some questions on the lawsuit. The first one was on the appeal at the Appellate Court. Can you give us any color on the process there, give any sense of when a decision either way to be made?
Thomas Joseph McInerney: Good question, Ryan. Obviously, a lot of shareholders are interested in that. I've asked Greg Karawan, our General Counsel to be here. He has been London throughout the court trial and has obviously a good understanding of the process. So I'd just ask Greg to give you and the other investors and people on the call an update on what the process is from here going forward.
Gregory Scott Karawan: Thanks, Tom, and thanks for the question, Ryan. So unlike in the United States, where most of people will be familiar with, there is no appeal as of right in the United Kingdom, instead permission needs to be sought and granted. Permission could be sought directly from the trial court or from the Appellate Court. As Tom mentioned in his prepared remarks, Santander already sought permission from the trial judge, and that was denied. Santander now has until August 15 to seek permission from the Appellate Court. Once that permission is requested, the Appellate Court would likely take about 2 to 3 months to decide whether to grant permission. If permission is denied, case is pretty much over. If permission is granted, it could take anywhere from 12 to 18 months, inclusive of the time -- the 2 to 3 months for the request for permission for the appeal to be decided.
Ryan Joel Krueger: One quick follow-up on that. So I guess if they did grant permission in the Appellate Court for 18 months, would the payment not occur until after that 12- to 18-month process and everything was decided? Or would it -- because I recall going back to the Genworth AXA case that I thought you actually had to pay them prior to the appeal being decided?
Gregory Scott Karawan: Yes, that's right. And there is no stay of the judgment. The court's order requiring payment by August 15 is still in place. It's not been adjusted. There is no automatic stay and no stay has been sought. So as of today, payment is still required by August 15.
Ryan Joel Krueger: Okay. Great. And then related follow-up was just on the use of proceeds. I heard your comments on potential uses. I guess another possibility, it sounds like this isn't your plan, but I just wanted to check on it. I guess another possibility would be you pay down Genworth's debt and you spin off Enact and then that would result in an elimination probably of the discount your stock trades relative to the implied sum of the parts value. So just want to have some updated thoughts on that. Is that being considered at all? Or do you feel like there's reasons not to pursue that path?
Thomas Joseph McInerney: So Ryan, I think for use of proceeds, Jerome and I are still looking at that. I think what you'll see is, as in the past, a significant amount of that will be used for share buybacks and then opportunities if there are any further CareScout investments, although we don't see a significant faster investment in there unless there are inorganic small add-on acquisition opportunities which they come to us from time to time and then opportunistically repurchasing debt. But I want to remind, it's a great question. We get it a lot. I want to remind you and the market investors that just paying down the debt does not allow us to do the spin-off. I laid out in the annual meeting because we have -- we get a lot of questions on this, the RemainCo, even if we used all the proceeds and ongoing proceeds from Enact to eliminate the $790 million of debt, we still can't do the spin-off. It's not viable because the RemainCo which would then be the U.S. Life businesses, Long-Term Care, Life & Annuity and the CareScout businesses, none of those have positive cash flow that can be paid to the holding company. Therefore, we -- the spin is something we will look at, but what it will require would be that the CareScout businesses achieved breakeven, and we've said -- we think that's around 5 years. And then once they are in a position to be a regular dividend payer which we expect at some point, then the spin-off option is viable.
Operator: [Operator Instructions] We'll take our next question from Pete Enderlin with MAZ Partners.
Peter J. Enderlin: What about the possibility of, at some point, initiating a common stock dividend? I don't know if there are any specific restrictions now, but those could go away if you get the amount from AXA?
Thomas Joseph McInerney: So Pete, it's a good question. We get it quite a bit. I would say, we talk a lot to our shareholders. I would say at this point, the vast majority of shareholders, 80% or more are encouraging us to use excess cash for buybacks versus debt repurchases unless they are good pricing in the market for the debt. So we continue to look at other opportunities because shareholders prefer the repurchases versus instituting a regular dividend, which certainly is a possibility and option. At this point, we decided not to look at a dividend. But the Board and management look at that on an ongoing basis. So that could be a possibility at some point.
Operator: Our next question will return to Ryan Krueger with KBW.
Ryan Joel Krueger: Sorry, one more on the lawsuit. Is there any consideration or potential for a settlement that would just eliminate the possibility of an appeal? And the reason I ask is it sounds like what could happen is you'll receive the $750 million soon. But then if they were to grant Santander the right to appeal, you'd at least have a risk of having to pay back proceeds, which I would think would then make it more difficult to deploy all of them. So I wanted to hear any thoughts on it that if there's any possibility there?
Thomas Joseph McInerney: So Ryan, what I would say is you never know on settlement. I would go back to what we've been saying for a number of years. We've always thought that the liability for these misselling claims was on the bank, Santander, not on the insurance companies, which we owned and then AXA bought. So we always thought we had a strong case. I think the court decision is pretty clear that they agreed with that. So we're open -- always open to talking but because we feel very good about the prospects of prevailing if there is an appeal and it's granted, I think if -- the only thing that I would consider would be some time value of money. I will -- I want Greg to comment because with the payment being made that actually doesn't come to us. It's paid to AXA. But Greg, do you want to just cover how the process works when the payment is made -- even whether -- and then talk about then how that interacts with whether an appeal is granted or not by the type of Appellate Court.
Gregory Scott Karawan: Sure. That's exactly right, Tim. As both you and Jerome made clear in your prepared remarks, -- in fact, if Santander pays the judgment on August 15, that payment goes to AXA, but if the appeal process is still underway, that is a request for permission to appeal has been made or if it has been granted. AXA doesn't pay Genworth its share of the recovery until all appeals have been favorably resolved. So that is the process of -- that's how that would work. As far as settlement, I agree with all of Tom's remarks, we feel optimistic about our ability to rebut any appeal that's made even if permission is granted.
Ryan Joel Krueger: Okay. So you won't receive the proceeds on August 15. The -- you'll receive the proceeds possibly a few months later if the request is denied, but if not, it won't be until that process is completed?
Gregory Scott Karawan: That's right. If for some reason, Santander does not seek request for permission to appeal, that would put an end to it or if they do request permission, then 2 to 3 months after that, if the request is denied, if it's granted, then somewhere 12 to 18 months once the appeal is resolved and favorably decided.
Operator: Our next question comes from Joshua Esterov with CreditSights.
Joshua Esterov: I appreciate the commentary on thinking about the deployment of the litigation proceeds, but does the receipt of funds perhaps give you an opportunity to maybe recalibrate where you want to be in certain categories, for example, like a target level of holdco liquidity or target level of overall indebtedness. Just wondering if the actual receipt of funds make you revisit any of these or any other items?
Jerome Thomas Upton: Josh, this is Jerome. Thank you for the question. I would first highlight that, of course, when we get a quantum of proceeds of this magnitude, we will be assessing all options and how we allocate that capital. I think Tom and I both highlighted, we're going to follow our normal capital allocation approach. We'll be looking at holding company cash, but I have to tell you, we're very comfortable with where we are in the buffer that we hold, which is 2x our debt service. And I would just also highlight to you, Josh, when you think about our leverage right now, excluding U.S. Life, we're 20% -- right around 20%. We had debt service of around $50 million per year. We have 6x interest coverage. So we're comfortable with where we are and the leverage. But back to your macro question, of course, we will evaluate everything. We're pleased with the outcome of the case, but we're comfortable with holding company cash. We're comfortable with our leverage. So we will most likely continue to focus on share buybacks when our share price is trading at this level.
Operator: We'll take our next question from Colin Devine with [indiscernible] Associates.
Unidentified Analyst: I had 2 questions, and none of them are on the Santander. I think we've gotten to the bottom of that. The first one, can you give us a little more color on the LTC recapture, the size of the policy and also clarify with the $26 million gain pre or post-tax? And then the second question relates to the new LTC products. Are they being written either the legacy companies, i.e., GLIC? Or are you going to be offering those out of CareScout insurance?
Thomas Joseph McInerney: So we'll let Jerome have the first one, and Colin, I'll take the second one, and nice to hear from you, Colin.
Jerome Thomas Upton: Thank you for the question on the recapture. I would dimension this as the business was ceded to us some time ago, and it ultimately became subject to arbitration. The ceding company had requested a return of assets and reserves that were simply, in our view, materially higher than what we believe to be fair. And therefore, it became subject to arbitration. The outcome of the arbitration was favorable to Genworth and the arbiters agreed with our lower return of assets and reserves. And the settlement was final in May, giving rise to this onetime gain. I will highlight, we paid roughly $24 million and add $50 million on the books for U.S. GAAP. So that's how you get to the $26 million.
Thomas Joseph McInerney: So Colin, any follow-up on that for Jerome. And if not, I'll take the second question.
Unidentified Analyst: Sure, Tom. Can you just give us a sense of the size of the underlying liabilities related to that treaty? And if you're comfortable, who the arbitration was with on the other side?
Jerome Thomas Upton: The arbitration was with Blue Cross, Blue Shield in Nebraska. It has been disclosed in our publicly filed documents. And the quantum of the liability was $50 million. The reserves that we had on the books was roughly $50 million for U.S. GAAP.
Thomas Joseph McInerney: Yes. Thank you, Colin, for the question. Turning to your second part on long-term care. So just to remind you, we view the Genworth legacy life operating companies to be stand-alone, separate self-sustaining and all of the new business that we're writing, the new Long-Term Care Insurance business. So the first product, which I said has been approved for sale in 29 states. And we'd like to have 30 of the 35, and there's no magic number there before we launch. So that's a traditional long-term care insurance product that we think is priced conservatively good returns for us. And with the fact that we will be reviewing the pricing assumptions against reality over time and seeking increases if we need to, although this product is designed where we won't need an increase, but it's hard to be sure of that given that the duration of the liability is 30 years. As I also said, we're now in the process. We filed with insurance compact, which is 23, 24 states for a worksite version of that product. And then we have an annuity hybrid new product design that we're working on. We expect that to come out sometime in early next year and then we'll expand the offerings from there. All of those products will be -- I mean, we're funding this new insurance company, CareScout Insurance Company. It's domiciled in Virginia with $85 million, and that new company will be the issuer of all the new long-term care insurance or funding solutions going forward.
Unidentified Analyst: Tom, just to clarify that CareScout Insurance, that is the former Genworth insurance company? Is that correct?
Thomas Joseph McInerney: Well, the Genworth insurance company -- we did buy a shell company many years ago in North Carolina. We rebranded that CareScout. So going forward, the new services business and insurance business, we branded CareScout and then it was redomicile to Virginia. So -- and that's CareScout Insurance Company.
Unidentified Analyst: And that is -- just to clarify, that is owned directly by the holding company...
Thomas Joseph McInerney: It's not in the chain that owns the 3 Genworth legacy life company. Thank you, Colin. Nice to hear from you.
Operator: Ladies and gentlemen, I will now turn the call back over to Mr. McInerney for closing comments.
Thomas Joseph McInerney: Karen, thank you very much, and I want to thank Ryan, Pete, Josh and Colin for their questions. I think they are very good questions, and obviously, a lot of our shareholders, investors in the market are interested in that. So I think we're doing a great job on our 3 strategic priorities. We're very pleased with the way the AXA litigation played out. We think the judge got it right. And going forward, we're very optimistic about the growth in CareScout, both on the services side with our CareScout Quality Network on the insurance side. We now have the benefit of the potential AXA proceeds when an appeal is resolved. And plus, as Rohit in the earlier call today, if any of you were on that for Enact that they have increased their capital return for all shareholders this year from $350 million to $400 million. And so we still have, obviously, a very strong cash -- free cash flow generator in Enact. So we feel we're in very good shape going forward. And we look forward to an increase in return, obviously, with the significant new proceeds, significant more capital return through to shareholders, principally through the buybacks. We'll look at the data opportunistically. But as Jerome said, at 20%, if you take all the GAAP equity of the life companies out, we're still among the lowest debt to capital in the industry, very low $50 million of annual interest. So we feel in a very, very good position. And for those of you who have followed us for a long time, I mean, I think we're stronger today than we've ever been, and we now have a significant improvement in the financial strength of the company. Obviously, those proceeds represent a big part of our existing market cap. I want to thank all of you for the call. I want to thank the 4 questioners. I think there were questions that we get a lot and look forward to updating you next quarter. Thank you very much. And with that, Karen, I'll turn the call back to you.
Operator: Ladies and gentlemen, this concludes Genworth Financial's Second Quarter Conference Call. Thank you for your participation. At this time, the call will end.